Kenichi Hori: Good morning. I’m Kenichi Hori, CEO. Thank you for joining us today. As we enter the second year of the Medium-term Management Plan 2026, I want to touch on the results of the first year as our management policy and the progress of our business plan. Then I will hand over to Masao Kurihara, General Manager of the Global Controller division, who will speak on the results of fiscal year March 2024 and the business plan for fiscal year March 2025 in more detail. In the current Medium-term Management Plan, or MTMP, we’ll continue to provide value through global and cross-industry business development, leveraging our strengths. Our track record in terms of business performance is as follows: both core operating cash flow, or COCF, and profit were at the JPY 1 trillion level, following from the previous fiscal year. Although this was partially impacted by foreign exchange, commodity prices and other such factors, broadly speaking, this profit level was achieved as various initiatives, including integrated risk management, capturing upside in response to the business environment, addressing downside risk and focusing on the middle game, which leads to the improvement of our existing businesses; were executed to a certain standard. In addition to the fact that Mitsui has been able to capitalize on changes in the external environment, such as fluctuations in commodity prices and exchange rates as well as changes in the supply chain, base profit, which excludes these factors, has steadily grown. As a result of this accumulation, Mitsui’s balance sheet has become even stronger and has ample reserve. Our portfolio is balanced and well diversified in both developed and emerging countries with a business base built up over many years by forming relationships and businesses with industry-leading partners worldwide, making us highly resilient to various changes in the operating environment. We work with partners around the world to create value in order to provide global and cross-industry real solutions to complex social issues on a global scale. Regarding growth investments, the pipeline of projects that we have been continuously enhancing has been dynamically reconfigured as we are constantly reviewing priorities. And we have been accumulating investments that are strategically handpicked by management. We will continue to execute investments with an eye on striking a balance between near-term earnings contribution and the long-term earnings base. Our track record and business portfolio are supported by functions and organizational structures that we have refined over many years. We’re able to appropriately pursue global and cross-industry initiatives because we have deepened our global matrix structure, in which business lines and regional lines intersect. We have done this over the past 2 decades by refining our functions, including trading, finance, business-building capabilities and advanced risk management that supports growth. In addition, we are constantly reviewing and evolving Mitsui’s governance structure. Our cash generation capability, which stands on the foundation of everything I just mentioned, has steadily expanded in comparison with the previous MTMP, in which we achieved good results. Cash inflows are expected to increase to approximately JPY 4.2 trillion as a result of COCF continuing at an annual level of JPY 1 trillion and accelerated asset reconfiguration. Against the backdrop of strong cash inflows, we will allocate capital with a good balance between carefully selected growth investments and shareholder returns and will increase allocation in both of these areas. We expect total cash outflows of over JPY 3.7 trillion during the current MTMP period. But even under this assumption, we’ll still have excess cash and the balance sheet with ample reserve. I will now talk about the key actions for this fiscal year in the 3 key strategic initiatives of the current MTMP. During the 3 years of MTMP period, we expect growth investments totaling JPY 1.8 trillion for the 3 key strategic initiatives. This figure is excluding approximately JPY 700 billion in investments for sustaining existing projects. First, in Industrial Business Solutions, we expect JPY 800 billion in growth investments. We’re working diligently on the large-scale promising deals that will further solidify our long-term stable and sustainable earnings base and add very attractive upside potential to our portfolio. Next, in Global Energy Transition, we expect growth investments of JPY 600 billion. We will continue to stable supply of energy by further expanding our stable earnings space, with natural gas and LNG of the core, which will play an important role as transition fuel in realizing a decarbonized society. While ensuring profitability, we’ll continue to build a portfolio of next-generation fuels such as ammonia and methanol as well as decarbonization-related businesses. As announced last week, the sale of the Paiton coal-fired power generation business has been completed. We expect a gain on sale of approximately JPY 44 billion and a cash inflow of approximately JPY 109 billion in the first quarter of fiscal year March 2025. We also completed the sale of the coal-fired power generation business in China in March. We’ll continue to proceed with measures towards the transition to a decarbonized society. Finally, growth investments in Wellness Ecosystem Creation are expected to be JPY 400 billion. We’ll work towards a business cluster strategy that strengthens the competitiveness of our core businesses and capture market growth and needs with a focus on protein, nutrition and wellness. In the protein area, in particular, we will focus on chicken and shrimp and will accelerate the strengthening of competitiveness of the newly acquired businesses and the creation of synergies between them. I will now talk about shareholder returns and the share split. We decided to conduct a 2-for-1 share split with June 30 set as a record date. With regard to shareholder returns, we have decided to raise a minimum full-year dividend per share based on our progressive dividend policy for the MTMP 2026 period. This will be an increase of JPY 30 per share from FY March 2025, up from the previous JPY 170 per share to JPY 200 per share, which are pre-share split-based figures. On a post-share split basis, the annual dividend will be JPY 100 per share. In addition, based on an increase in cash inflows, which includes the execution of large-scale asset sales, we have decided to make new share repurchases of up to JPY 200 billion. As a result of these enhancements, shareholder returns as a percentage of COCF on a 3-year cumulative basis would already exceed the target of around 37%, and we now expect this level to exceed 40%. Next, I will give a summary of the results for fiscal year March 2024 and the business plan for FY March 2025 in the context of progress made in MTMP 2026. The results for FY March 2024 and the plan for FY March 2025 is shown on this slide. COCF has reached a level of JPY 1 trillion for 3 consecutive fiscal years, and we will continue to generate cash at the same level in FY March 2025. It was against the backdrop of such strong and continuous cash flow that we have decided to increase shareholder returns, as I mentioned earlier. In this section, I will discuss cash flow allocation for FY March 2024. Cash inflows for the period was JPY 1.533 trillion, comprising COCF and asset recycling. Cash outflows included JPY 968 billion in investments and shareholder returns of JPY 377 billion for a total of JPY 1.345 trillion. During the current MTMP period, cash inflows are expected to increase to approximately JPY 4.2 trillion due to an increase in COCF and asset recycling. As a result, the management allocation will increase to JPY 1.750 trillion compared with JPY 1.130 trillion at the time of the initial announcement of the MTMP. Of the expanded management allocation, we will allocate JPY 770 billion to investment, JPY 420 billion to shareholder returns, totaling JPY 1.190 trillion. Even under this assumption, management allocation will be JPY 560 billion, and we will continue to further enhance both growth investments and shareholder returns and keeping in mind the ample reserve of the balance sheet that we bolstered during the previous MTMP. Next, I will explain the progress on the enhancement of base profit as laid out in the MTMP. Adjusting for commodity prices and exchange rates to the assumption for FY March 2026, at the time of the MTMP announcement, this profit, which is calculated as profit excluding onetime and other factors, is planned to expand by JPY 170 billion over the 3 years of the MTMP. Looking at the cross-section for FY March 2024, across the 3 areas, we see a total of JPY 55 billion in expansion of base profit. For those businesses that have shown sluggish performance due to operating environment or have slight – or have struggled in turning the business around, we have already taken action to improve profitability. FY March 2026 profit outlook from the new project through investments that have been executed or in which decisions have been made, has accumulated more than JPY 40 billion as of now. Collectively, these factors indicate that we are on track to achieve our planned enhancement of base profit. Earnings contribution from new projects have started as planned. There are new projects expected to start contributing to earnings in FY March 2025, following on from FY March 2024. In addition, careful selection of projects in the pipeline is progressing, and there are new projects expected to quickly start contributing to earnings during the current MTMP. Finally, in FY March 2025, we will continue to pursue management aimed at improving ROE and corporate value. We will focus on strengthening core businesses, reducing loss-making businesses, executing selected growth investments and accelerating strategic recycling as priority measures to both improve current profitability and build a long-term earnings base. That completes my part of the presentation today. Now I will hand over to Masao Kurihara, our General Manager of the Global Control division, who will speak on the consolidated operating results for FY March 2024 and the business plan for FY March 2025 in more detail.
Masao Kurihara: I am Masao Kurihara, General Manager of the Global Controller division. I will now provide details of our operating results of FY March 2024 and the business plan for FY March 5. First, I'll explain the main changes in COCF by segment compared to the previous fiscal year. In FY March 2024, COCF decreased by JPY 209.7 billion to JPY 995.8 billion. In Mineral & Metal Resources, COCF decreased by JPY 27.6 billion to JPY 409.1 billion, mainly due to the decline in metallurgical coal prices and a decrease in dividend income from associated companies. In Energy, COCF decreased by JPY 171.8 billion to JPY 247.8 billion, mainly due to lower crude oil and gas prices, lower earnings in LNG trading and production decrease in some LNG and crude oil upstream projects. In Machinery & Infrastructure, COCF decreased by JPY 6 billion to JPY 176.9 billion, mainly due to an increase in taxes associated with asset recycling. In Chemicals, COCF decreased by JPY 26.1 billion to JPY 63.4 billion, mainly due to a fall in the prices of fertilizers, fertilizer raw materials and feed additives. In Iron & Steel products, COCF decreased by JPY 9.5 billion to JPY 8.5 billion, mainly due to a decrease in dividend from associated companies. In Lifestyle, COCF increased by JPY 9.1 billion to JPY 40.2 billion, mainly due to increase in dividends from associated companies and the swing back of the losses in coffee trading recorded in the same period of the previous fiscal year. In Innovation & Corporate Development, COCF decreased by JPY 1.2 billion to JPY 45.4 billion. Other factors such as expenses, interest, taxes, et cetera, which are not allocated to business segments; totaled JPY 4.5 billion. Next, I'll explain the FY -- March 2024 main changes in profit by segment compared to the previous fiscal year. Profit decreased by JPY 66.9 billion to JPY 1,063.7 billion. In Mineral & Metal Resources profit decreased by JPY 103.7 billion to JPY 335.1 billion due to decrease in profit contribution following the sale of SMC and metallurgical coal business in Australia in the third quarter of the previous fiscal year and the fall in prices of metallurgical coal. In Energy, while a onetime profit was recorded, profit decreased by JPY 27.7 billion to JPY 281.7 billion, mainly due to lower crude oil and gas prices, a decrease in LNG trading and production decrease in some LNG and crude oil upstream projects. In Machinery & Infrastructure, although there were impairment losses for the renewable energy business and the Brazilian railway business, profit increased by JPY 76.8 billion to JPY 248.7 billion, mainly due to the gain on sale of a European locomotive leasing business and multiple power generation businesses and good performance of multiple businesses, [Fitel] ships, VLI and industrial and construction Machinery. In Chemicals, profit decreased by JPY 31.7 billion to JPY 39.2 billion, mainly due to a decrease in profit from trading and a fall in prices of fertilizers, fertilizer raw materials and feed additives. In Iron & Steel Products, profits decreased by JPY 11.3 billion to JPY 11.2 billion, mainly due to an impairment loss in an associated company and lower demand. In Lifestyle, although there was a valuation loss on put options, profits decreased by -- profits increased by JPY 39.3 billion to JPY 94.1 billion, mainly due to fair value gain of AIM Services and profit recorded due to asset recycling. In Innovation & Corporate Development, although a fair value gain associated with the integration of Altius Link was recorded, profits decreased by JPY 12.9 billion to JPY 53.8 billion, mainly due to a year-on-year decrease in profit from asset sales and the decline in profit from commodity derivatives trading due to the good performance recorded in the previous fiscal year. Other factors such as expenses, interest, taxes, et cetera, which are not allocated to business segments; totaled minus JPY 0.1 billion. This page shows the main factors influencing changes in FY March 2024 profit against the previous fiscal year. Base profit decreased by approximately JPY 87 billion. Although there was an increase in LNG dividends and there were performance improvements mainly in the power generation business and the automotive business in the Americas, there was a decrease in trading profit, mainly in LNG, chemicals and grain and increase in interest expenses and a decrease in profit contribution following the sale of SMC in the previous fiscal year. Resources cost/volume resulted in a decrease of approximately JPY 76 billion, mainly due to a production decrease in some LNG and crude oil upstream projects, increasing depreciation and exploration cost in energy upstream projects, an increase in fuel and labor costs in the Mineral & Metal Resources projects. Asset recycling resulted in an increase of approximately JPY 100 billion, mainly due to MRCE a European locomotive leasing business, the realization of energy-related foreign exchange and gains on the sale of real estate and the U.S. Kaikias oil field. In commodity prices and ForEx, profit decreased by approximately JPY 46 billion. For commodity prices, profit decreased by approximately JPY 83 billion due to lower crude oil and gas prices and JPY 24 billion due to a fall in metallurgical coal prices in Mineral & Metal Resources, which resulted in a decrease of approximately JPY 107 billion in total. For ForEx, profit increased by JPY 61 billion, mainly due to the weaker yen. Valuation gain or loss increased approximately JPY 42 billion, mainly due to gains on the reversal of asset retirement obligations in the Energy segment and a fair value gain from the revaluation of AIM Services despite impairment losses on several projects. Now let's look at the balance sheet as of the end of FY March 2024. Compared to the end of FY March 2023, net interest-bearing debt increased by approximately JPY 0.2 trillion to JPY 3.4 trillion. Meanwhile, shareholder equity increased by approximately JPY 1.1 trillion to JPY 7.5 trillion. As a result, net DER fell to 0.45x. The business plan for FY March 2025 for COCF is shown for each segment. Although COCF is expected to decrease from the previous year in the Mineral & Metal Resources and Machinery & Infrastructure segments, we plan to achieve JPY 1 trillion, the same amount as the previous year, due to steady accumulation in other segments, mainly in the Energy segment. This is a business plan for profit by segment for FY March 2025. Our plan shows a decrease in profit by JPY 163.7 billion from the previous year to JPY 900 billion, mainly due to the absence of the onetime gain recorded in the Energy segment in the previous year. Page 24 shows a comparison of plan for FY March 2025 and the results for FY March 2024 with a summary of the factors involved. For base profit, in addition to strengthening and turnarounds of existing businesses, mainly in affiliated companies of Lifestyle, Chemicals and Iron & Steel products segments, we expect new businesses, including those in protein, mobility and functional food ingredients; to start contributing to profit. However, we expect a profit increase of about JPY 11 billion, mainly due to decreased profits in LNG trading and mobility businesses. For resources cost volume, we plan on a decrease of approximately JPY 19 billion due to increase in operating costs, mainly in Energy upstream businesses. As for asset recycling for FY March 2025, while we expect approximately JPY 78 billion from asset sales, including the sale of the Paiton power generation business and the partial sale of VLI, we plan for a depreciation of approximately JPY 85 billion due to the absence of asset recycling gain recorded in FY March 2024. Commodity prices, ForEx is planned to result in a profit decrease of approximately JPY 31 billion, mainly due to a decrease in iron on prices. Finally, for valuation gain loss and onetime factors, we expect a decrease of approximately JPY 9 billion, mainly due to the effect of a JPY 20 billion burden increase related to the amendment to the retirement benefit system. That concludes my presentation. Thank you.
End of Q&A: